Operator: Good day, ladies and gentlemen, and welcome to the Viavi Solutions Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will have a question-and-answer session, and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to your host for today’s conference, Mr. Bill Ong, Head of Investor Relations. Sir, you may begin.
Bill Ong: Thank you, Suzie. Welcome to Viavi Solutions’ fourth quarter fiscal year end 2016 earnings call. I’m Bill Ong, Head of Investor Relations. Joining me on today’s call are Oleg Khaykin, President and CEO, and Amar Maletira, CFO. Please note, this call will include forward-looking statements about the Company’s financial performance. These statements are subject to risks and uncertainties that could cause actual results to differ materially from current expectations. We encourage you to review our most recent SEC filings, particularly the risk factors described in those filings. The forward-looking statements, including guidance we provide during this call, are valid only as of today. Viavi undertakes no obligation to update these statements. Please also note that, unless we state otherwise, all results are non-GAAP. We reconcile these non-GAAP results to our preliminary GAAP financials and discuss their usefulness and limitations in today’s earnings release. The release plus our supplementary slides, which include historical financial tables are available on our website. Finally, we are recording today’s call and will make the recording available by 4.30 p.m. Pacific time this evening on our website. I would now like to turn the call over to Amar.
Amar Maletira: Thank you, Bill. Fiscal Q4 revenue of $224.1 million exceeded our guidance midpoint of $220 million. OSP revenue exceeded the guidance range while NSE was above the guidance midpoint. Revenue was up 2% year-over-year, driven by strong performance in our OSP segment that offset the decline in NSE. Our operating income at $30.2 million grew $13.3 million or 78.7% year-over-year. Operating margin of 13.5% was towards the high end of the guidance range and was up 580 basis points year-over-year, as a result of strong OSP performance and good operating expense management in NSE. Overall, Viavi operating expenses declined 7.6% year-over-year or $9.2 million, driven by G&A expense reduction and R&D spend optimization. EPS at $0.10 was at the high end of the guidance range which is 150% increase from $0.04 a year ago. Now, moving to the results by business segment, starting with NSE. NSE revenue at $161.1 million declined 4.8% year-over-year, driven by a 9.4% decline in the SE segment and a 3.6% decline in the NE segment. The year-on-year SE revenue decline impacted both the enterprise and assurance businesses with mature products declining at a steeper pace compared to the growth in new products. NSE gross margins at 64.8% increased 10 basis points year-over-year due to product mix. NSE’s operating margin at 1.5%, increased 300 basis points year-over-year, as a result of operating expense reduction. The book-to-bill ratio for NE, which is our core instrument business, was above 1 while SE had a book-to-bill of below 1, primarily due to mature product runoff. As a result, overall, NSE book-to-bill ratio was below 1. Now turning to OSP. OSP revenue at $63 million grew 24.8% from a year ago levels, driven by higher demand in the anti-counterfeiting business. Gross margins at 59.4% increased 360 basis points, and operating margin at 44.1% improved 570 basis points from last year due to higher revenue, favorable product mix, and higher factory utilization. Moving to fiscal year 2016. For the fiscal year 2016 Viavi’s revenue at $906.3 million grew 3.7% from fiscal 2015, driven by growth in our anti-counterfeiting business within the OSP segment. NSE revenue declined 3.4% due to steep declines in our mature assurance business. Our core instruments business has stabilized and was roughly flat year-over-year. Operating margin for Viavi at 12.8% was a 500 basis-point improvement versus a year ago. Net income for the year at $90 million more than doubled from $44 million a year ago. This resulted in EPS for the year doubling to $0.38 from $0.19 versus prior year. This profit performance was a result of revenue growth in our OSP segment and operating expense reduction in our NSE segment, primarily in G&A and R&D spend optimization. Driving operational efficiency will continue to be an important area of focus in fiscal 2017 and beyond. Today, we also announced that we’ll be restating our Q1, Q2 and Q3 financial statements to correct an error in our calculation of GAAP only non-cash income tax expense in a foreign jurisdiction. This was corrected during Q4 and so does not impact full year fiscal 2016 GAAP results being reported today. While the error was not material on a standalone basis for any individual quarter, based on the cumulative effect for the first half of the fiscal year, we determined that the restatement was warranted. This GAAP tax expense restatement does not impact our previously reported non-GAAP results. On a GAAP basis, fiscal year 2016 showed a loss from continuing operations before tax of $45.9 million, an improvement from fiscal 2015 loss of $105.3 million. Fiscal 2016 GAAP losses from continuing operations before taxes reflects the impairment of goodwill related to the SE segment, partially offset by investment gains from the sale of Lumentum stock. Fiscal year 2016 GAAP EPS loss from continuing operations of $0.22 was lower than the prior fiscal year with a GAAP EPS loss from continuing operations of $0.57. Now, turning to the balance sheet, our total cash and short-term investments ending balance was approximately $980 million, which includes the remaining 7.2 million shares in Lumentum valued at $171.3 million. During the quarter, we sold approximately 2 million shares of Lumentum stock with an average selling price of $24.86 per share, resulting in net proceeds of $48.5 million. Our book cost basis on these shares is approximately $8.58 per share. As a result, we realize on GAAP only P&L an accounting gain of approximately $31.8 million. Following the end of fiscal year 2016, we sold an additional 2.2 million shares, bringing the number of Lumentum shares we sold to-date to 6.7 million out of the original 11.7 million shares received in August 2015. Cumulatively, these shares were sold at an average selling price of $24.95 per share, resulting in net proceeds of $166 million. During fiscal year 2016, we repurchased a total of 7.3 million Viavi common shares at $44.5 million with an average cost basis of $6.11. This included the repurchase of approximately 1 million shares of Viavi stock under the new share buyback program announced in February 2016. We will continue to be opportunistic to monetize our Lumentum share position and actively pursue the repurchase of our own stock. Our GAAP operating cash flow from operations for the quarter was $17.9 million. At the end of fiscal year 2016, we took a goodwill impairment charge on the SE segment of $91.4 million before tax. This was a result of annual impairment testing of our goodwill and an ongoing assessment of our SE business. At the end of fiscal year 2016, goodwill of $152.1 million is comprised of NE at $143.8 million, OSP at $8.3 million and SE at zero. Now, turning to our guidance. We expect fiscal first quarter of 2017 revenue to be in the range of $201 million to $217 million, operating margin at 11.4% plus or minus 1%, and EPS to be $0.06 to $0.08. We expect NSE revenue to be at $153 million plus or minus $6 million with operating margin at 1% plus or minus 1%. We expect OSP revenue to be at $56 million plus or minus $2 million, with operating margin at 40% plus or minus 1%. Our tax expense is expected to be about $4.5 million. We expect other income and expenses to be a net expense of $2.5 million and our share count to be approximately 238 million shares. Now, I will now turn the call over to Oleg.
Oleg Khaykin: Thank you, Amar. Viavi’s overall results were above the midpoint of our guidance range with OSP exceeding the guidance range and NSE coming in within the range. Network Enablement or NE had a revenue decline of 3.6% from a year ago. While we continued to see strength in fiber test instruments to support the 100-gig metro deployment and fiber to the home expansion, access and Ethernet copper was weaker versus a year ago. Cable was down slightly from a year ago as the industry prepares to shift to DOCSIS 3.1 later this calendar year. We expect the cable upgrade cycle to have a gradual ramp over the next several years. Service Enablement or SE remains challenging as revenue declined 9.4% year-on-year. Service maintenance contracts continued to decline as mature products within SE fell double-digit percentages from a year ago levels. The new growth products, which include our data center products, grew low single-digit percentages. The carrier CapEx spending during the quarter and the first half of the calendar year remained below the expectations and it is uncertain if the second half of the year will be stronger, which would be necessary in order for carrier CapEx projections to stay on plan for the full fiscal year. As a result, we remain cautious on our near term outlook for the NSE business. The OSP segment delivered its second highest revenue quarter at $63 million on the continued strength in our anti-counterfeiting business. We also saw revenue strength in our optical coating products for consumer, industrial and government applications compared to a year ago levels. While the growth drivers for the anti-counterfeiting business are expected to remain intact in the long-term, we expect the demand to pull back in fiscal year 2017 from 2016 levels, as currency reprinting and banknote redesign returns to normal run rate. At the present time, our near-term visibility indicates a sequential decrease in demand for the first and second quarters as inventories and supply chain adjust a steady state demand. We expect OSP revenue in Q2 to be below fiscal Q1 levels with the recovery in the second half of fiscal 2017 to Q1 or above levels. In closing, during the fiscal year 2016, Viavi has achieved a number of milestones. We successfully completed the spinoff of Lumentum, achieved significant OpEx reduction, achieve substantially increase in profitability despite modest growth in revenue, and initiated further comprehensive restructuring and business strategy review to continue to driving longer term growth and profitability. As we look ahead to fiscal year 2017, we plan to continue to reduce our business complexity, improve our operational efficiencies and selectively invest in our core and growth businesses to drive a profitable and sustainable long-term business model. Please join us next month at our Analyst Day event where we will provide further detail around our business strategy. I would like to thank our employees for their hard work to achieve these milestones as well as express our thanks to our customers and shareholders in their support of Viavi. I will now turn the call over to Bill.
Bill Ong: Thank you, Oleg. I would like to highlight the following upcoming investor relations events. We will be participating in Morgan Stanley and MKM Partners Silicon Valley Bus Tour held at our Milpitas corporate office on August 29th and 30th, respectively. Our Analyst Day event will be held at our Milpitas Campus fixed date on September 15. Suzie, let’s begin the question-and-answer session. We ask everyone to limit themselves to one question and one follow-up.
Operator: Thank you. [Operator Instructions] Our first question is from Patrick Newton with Stifel. Your line is now open.
Patrick Newton: Good afternoon, Oleg and Amar. Thank you for taking my question. Oleg, can you remind us again the different strategic options that you are weighing pertaining to the SE portion of your business? And then, perhaps which method of solution you are leaning to at this point?
Oleg Khaykin: I think, we have not made any of our plans public. We are obviously in process of reviewing the business. And I’m not so sure by strategic options you mean divestiture, because it’s often the language. The answer is no at this time. What we are reviewing is the relative level of investment, the long-term prospects of that business, and whether or not within reasonable time this is a business that we can achieve. Obviously once we finalize our review, then we will have a spectrum of options at our disposal ranging from resizing of the business, refocusing on maybe a smaller different sub-segment or obviously doing the divestiture. So, at this point in time, it’s too premature to talk about it.
Patrick Newton: And then, I guess for Oleg or for Amar pertaining to OSP, can you help us understand what’s along operating margin to achieve such impressive levels? And then should we think as revenue dips down into fiscal 2Q that 40% op margin is still achievable?
Amar Maletira: You broke up. Could you repeat first part of your question?
Patrick Newton: I am sorry. What’s allowing the op margins to stay at such impressive levels for OSP and then you’ve been able to…
Oleg Khaykin: I’ll answer that question. So, as you may know, our OSP business has a significant manufacturing base, right? So, it’s actually one business where our fixed cost is real. And to the extent every dollar of revenue that you can pump out of those assets, it increases the absorption of the cost. So that pushes up the operating levels. So, it’s truly driven by the operating scale.
Amar Maletira: So, but again, just to add to Oleg’s comment, in 2016, just to build on what he said, we had unusually higher volumes and very high demand. So, our operating margins as we exited 2016, was 41.5% OSP. We don’t expect that level to continue. So, it has to be obviously lower than that. We’ll give additional color during the analyst day. But needless to say that we’ll drive higher factory efficiencies in that model as well as higher OpEx efficiencies, but it won’t be as high as 41.5%.
Operator: And our next question is from Michael Genovese with MKM Partners. Your line is open.
Michael Genovese: It looks like you had some nice sequential improvement in Europe. Can you talk about what drove that?
Amar Maletira: So, I think it was -- the improvement in Europe is mainly driven by our core instrument business. We also saw Europe actually -- even on a year-over-year basis, in NSE business, so, we’re talking about NSE business here. In our NSE business, we also grew on a year-on-year basis in Europe. So, it was mainly driven by our core instrument business. Fiber was particularly strong, as you see the trend from fiber to home as well as fiber build out for backhaul for wireless, we see our fiber products both on the field as well as lab side actually had a good demand. And that’s actually drove the strength in Europe as well as in some other parts of the world.
Michael Genovese: And then, similar question for the SE gross margins; was it mixed within those businesses that drove that gross margin improvement or was there something else there?
Amar Maletira: So, if you look at the gross margins, on a year-on-year basis, it was flat. But, you’re absolutely right, sequentially, the gross margins improved from Q3 to Q4. If you recall, in Q4, we did mention that as we go drive the acceptance of our solutions, at one of our large customers, we had a huge hospital [ph] hardware component that actually depressed the margins. Now that was one time as we indicated to you. So, excluding that you saw the operating margins revert back to its normal sort of range. So, that’s what happened in the SE business. That’s why you see a good jump in operating margins from Q3 to Q4.
Operator: And our next question is from Dmitry Netis with William Blair. Your line is open.
Dmitry Netis: I have two questions. One, maybe start with the carrier CapEx overview Oleg that you gave, you said it came below expectations, you’re cautious in your summer outlook, although judging by what the spending patterns may look like in the second half from those carries that communicated there or reaffirmed their guidance, it is seem to pointing out. So, can you reconcile your comment versus what’s really happening with the carriers out there and how they guided for the year?
Oleg Khaykin: Carriers have given guidance for the first half of the year and so far they’ve missed it. They’ve came in less, which I think every CEO probably pats himself on the back, have generated cash, spent less money and my results are better, and it doesn’t hurt to reaffirm my spending in case I need to spend, so I’m just playing catch up. So, I think I’m just taking a more conservative approach before I go and spend any money. I have to assume that they’re going to be running leaner, trying to squeeze more out of what they’ve got as they so far been the case thus far this year or maybe rolling out things a little bit slower. So, to the extent they really do live up to their guidance and spend the money, it would be a very pleasant upside and for us, it’ll be a welcome upside to our business and projections. But we’re planning our business in a more cautious spend by carriers. And as such, we are keeping very close eyes on our operating expenses. And obviously to the extent, they do spend the money, we’ll benefit from it. 
Dmitry Netis: Are you more cautious on the telco, the cable or kind of taken them in a one single bundle as a whole.
Oleg Khaykin: Well, I think it’s both. I mean, they all kind of work each other, and it’s almost a badge of honor these days, looks like, like I understand my CapEx right, which I think we all know it can only go on for so long and ultimately you have to spend some money.
Amar Maletira: And Dmitry, just to add to that; this is Amar here. So, we also have network equipment manufacturers one of our customers. And if you see their earnings announcement, you will see, there is softness of spending even their too, right? So, we’ve been cautious from both the service provider and as Oleg mentioned, as well as the network equipment manufacturer. And as Oleg mentioned, if we see the improvements, we’ll go capture it, but like to plan cautiously and execute aggressively there.
Oleg Khaykin: Yes. I mean reality for us, it’s a just a prudent strategy. Given that our NSE business is fully outsourced, we don’t need to plan or put ahead of time manufacturing capacity. Our capacity comes to us on demand, and we have very good and very flexible supply chain management. So, to the extent, the demand is greater, we can turnaround on a dime. But my experience has been, it’s a plan for the low end on the OpEx and execute and be able to execute your supply chain on the higher end of demand.
Dmitry Netis: Great, very good. And then, just sales productivity, I know Oleg you’ve been doing some optimization, some resetting of the quarters [ph] and driving business outside of U.S., China, Europe. I mean, clearly Europe picked up, so you had a nice tailwind there. Talk about that sales productivity, is that metric improving, are you happy with where it’s going, at least the trajectory of that metric? And then, also on the channel traction, anything to speak on that front; you’ve been sort of eight months now with that channel program, anything that’s pleasing or non-pleasing as far as that goes?
Oleg Khaykin: Okay. Sales is a very important topic in this Company, as I’ve kind of run multiple companies from manufacturing to R&D intensive to Viavi. And in case of Viavi, the single biggest component of our cost structure is our sales and marketing. So, clearly, getting good return on your sales and marketing dollars is a big way to drive your operating margins improvement and overall profitability. So, in many ways, sales is a very critical element for the Company. So, you got to look at it cautiously, so you don’t have unintended consequences. But as we look at it and we are still work very much in process, we see a very different level of productivity by regions and by different accounts. And clearly as we look through it, several things come to mind. One is how do we set our quarters, how do we reward our best performing employees, but also are we being smart about how we go to market, are we doing more direct and we should or should we into some smaller accounts, rely more on our channel partners. So, it really comes down to the cost of service that we put in, in order to drive the revenue. So, we are in process of -- we’ve finalized the analysis and we are in process of crafting the strategy for our sales productivity improvement. And by the way, we’re going to do exactly same thing for every part of the Company, it’s not just sales. I always prefer to start from the customer interface to make sure that you align the Company and performance all the way to the customer needs. So, sales is just the first settlement in our equation, will be followed by R&D and product line management and lastly, the operations. So, we’re very much on process on that. And to your question on the channels, channels are very important element in that overall strategy because this is a highly fragmented field. And as you know, there is lots of smaller carriers. And one of the greater priorities [ph] for us is to reach the smaller carriers and service providers more efficiently, and that means relying on our channel partners to execute, and that’s putting in place the support network. training, collateral and various other elements to make them successful. We are now in the eighth month of our Velocity program and we are seeing positive results; there is obviously been glitches in getting going, it takes longer than you always assume. But the program is now showing positive results, and we continue to tweak it and align it to drive greater volume of business through the channel partners. And as we review our current account strategy, to the extent we have marginal accounts where it’s not profitable for us to go direct, we’ll seek to offload them to our channel partners and give them additional incentive to drive Viavi products.
Dmitry Netis: Great. One quick housekeeping on SE what was the split between legacy and growth?
Amar Maletira: So, the SE legacy and growth overall split, as we exit FY16 is 40% legacy or mature, we want to call it mature, and 60% growth. So that’s the rough split.
Dmitry Netis: So, pretty much what was last quarter, right?
Amar Maletira: Yes, it’s similar state, because the rate of decline has remained the same. And so if you recall, it was last year in 2015 exactly the opposite 60-40 and now it’s 40-60.
Dmitry Netis: Very good, thank you. Keep up the good work, gentlemen.
Amar Maletira: Thank you.
Operator: Our next question is from Rod Hall with JP Morgan. Your line is open.
Rod Hall: Yes, thanks guys for taking my question. I just wanted to clarify your response to that last question. Are you talking the 40-60 split -- is that for the full year or is that for the quarter just ended, can you just clarify that?
Amar Maletira: It’s roughly -- it’s for the full year, right? Talked about the full year 40-60 but it’s for the…
Rod Hall: Right, quarter-on-quarter, given the kinds of declines in legacy that Oleg talked about, I mean clearly the split has deteriorated in favor of the growth products, right?
Amar Maletira: It is. Again, this has still some tail to it, the mature product. It did improve in the sense of growth product did improve on a sequential basis as well as on a year-on-year basis. So just to give a little bit more color, the growth business, which has for the enterprise and the assurance piece did grow double-digit for the full year, for the FY2016 it did grow double-digit whereas the mature business declined double-digit. And so, overall, the business was declining because the mature business was a bigger mix of the growth business when we started the year, and that’s now shifting. Does that…
Rod Hall: Great, okay. Thanks. Yes, thanks for the clarification. And then, I wanted to ask you guys, we’ve had other people talking about the Verizon strike and sort of one-off impacts or delays. Did you see any impact in NSE specifically as a result of that or is it fairly immaterial to you? And then, I just had one more follow-up.
Oleg Khaykin: I think just my view and obviously some of our sales people may make a -- some, they may indicate that we may have had a little impact. But largely, it was largely immaterial because a lot of our sales go through the sales force and some of them are contractors who service Verizon network. So, we did not see much impact on the kind of the more field side instrument. Now, there were some delays on the higher end, high performance products, but I’d say generally, we were not as heavily impacted. And…
Amar Maletira: And we guided you -- we already, if you recall we had already mentioned this and we had baked it into our forecast in fact, and it came in as Oleg mentioned, in line with our expectation.
Rod Hall: Okay, I didn’t catch. Thank you. And then the last thing, your European performance seems to be counter to what we’ve heard elsewhere. So, Europe seems to be generally weak from a carrier point of view, but you guys have had a good quarter. So, I’m just trying to understand that you -- Oleg, when you talk about your caution on carrier CapEx, are you disproportionally cautious on Europe or are you sort of equally cautious across all the regions you’re exposed to, can you just kind of help us understand how you’re thinking about that?
Oleg Khaykin: We have very strong position in North America. So, as a result, we’re more impacted by fluctuations in North America, because we have pretty high share with all the major carriers. And to the extent the things go up and down, it does impact us. In Europe, we’re significantly lower I’d say positioned in terms of market presence. So, in many ways, by putting more focus on, we’re able to offset any fluctuations through share gain. And as I mentioned earlier, we are reviewing our sales strategy and how we go to market, and Europe is one of the areas that is getting significantly greater attention. So, to some extent, it’s easier to move the needle in areas where you’re relatively smaller player. And so, to the extent they may have overall trend maybe down but by us picking up share, we can look better than the market.
Rod Hall: Okay, thank you guys.
Amar Maletira: Can I just clarify one thing, which is important point? We have NSE and OSP, NSE also grew, to Oleg’s point and what he saw. OSP also grew in Europe, because that’s where you’re seeing the growth in our OSP revenue overall, Europe did grow.
Oleg Khaykin: That’s right.
Operator: Our next question is from James Kisner with Jefferies. Your line is open.
James Kisner: So, just my first question here is, [indiscernible] I’m just wondering you can talk little more specifically about which products in SE that you think have the most promise of driving growth going forward, which products have the highest bookings growth and are the most promising?
Oleg Khaykin: Well, I think in generally at least in -- in the end, all products go through the cycles, right? As you go to deployments, you’ve a high growth and as things become -- technology becomes more mature, it slows down, and then just waits till the next cycle. So, at least in a near-term, anything optical I think is going to be by far a stronger -- will have a stronger momentum in terms of growth than anything relating to copper I would say. So, clearly there’s a lot of build out with the Metro 100-gig, we all heard about it, I mean we’ve seen the results from a lot of the module manufacturers. And it’s clearly creating a lot of pool and a lot of growth. The other area that we are seeing coming on to the horizon is the DOCSIS 3.1 deployment. And that is -- there is a bit of lag because first thing, the service providers deploy, they are core of the network and the backend of the network. And we are seeing pretty good results with ARISO [ph] and others that are selling into that market. Once that is deployed and we expect that to be coming to an end more or less, they are going to start rolling out the upgrades to the field. And that’s where a lot of our opportunities come in. So, we expect towards the end of the year the cable products to start picking up. And that cycle is not a very fast and sharp and short cycle; it’s more of a gradual kind of multiyear upgrade cycle. So, that’s kind of the second thing we are looking at. And the third element is, as we see more and more copper getting replaced with fiber such as pushing fiber all the way to the antenna to the home, we are seeing a healthy demand for a lot of our fiber inspection equipment to ensure avoiding the emerging equipment when you make a connectivity or fiber to the home or fiber to the antenna and things like that.
James Kisner: Just to clarify that answer, it sounds to me like that answer applied mostly to network [ph] products. I was kind of wondering about sort of -- maybe I’m wrong about that but I was thinking of like a [indiscernible] location intelligence, and you haven’t talked about PacketPortal in long time perhaps that’s?
Oleg Khaykin: So on that thing, it’s -- usually you see the biggest demand is whenever the network gets upgraded because then people rethink what is their current assurance or their location intelligence solution. So, I think there we are seeing clearly a lot of people looking to do anything with the edge there is much more opportunities that we are seeing in terms of potential or leads on the edge of the network or wireless edge less on the core because core upgrades happen far more infrequently. And once you are at kind of committee to a particular platform, it’s very difficult to penetrate or dislodge it. But I think most of our opportunities that we are seeing are on the edge. And once you win those, later as the customers upgrade the core, we come in with our solutions into the core. So, in that respect ARISO [ph] is clearly the technology where we are seeing continuous interest and demand.
James Kisner: Okay, great. Just want to sneak one more in here. So, Oleg, you’ve been there a while now, the NOLs have been a big topic with investors; you’ve increasingly got more cash on to the balance sheet. Do you have any updated thoughts on M&A; are you guys actively seeking acquisition targets? Thanks.
Oleg Khaykin: Well, I mean, the cash is not burning whole in my pocket and there is many ways, things we can do with cash. And we always have to assess opportunities. Does an M&A create value for shareholders or destroy it, and also we have to take opportunities -- I mean we can use that cash for a stock buybacks or retiring some of the debt. So, in that respect, we clearly want to do the things that make the most impact to our overall value of the Company. So, clearly, acquisitions are interesting, and we have our product list, but at this point, we do not see anything that is actionable enough that will meaningfully move the needle. And in case of buybacks and retiring debt, clearly, the market has been having a great run, so we’ve been very opportunistic in selling Lumentum stock. The company is doing very really well and we wish them continue to do well because it benefits us tremendously. To the extent, the wind shifts the other way, clearly, we’ll be more aggressive and active buyer of the Viavi stock.
Operator: Our next question is from Richard Shannon with Craig Hallum. Your line is open.
Richard Shannon: Hi, guys. Thank you for taking my questions. I guess my first one is on your NE business. I may have missed some of your comments about some of the moving parts by vertical market within there but I think you had talked about stabilization in that business. Can you talk about what the reasons, why there is that improvement internally in terms of sales execution or just more of a mix, just some of the end markets you may discuss here or can you help us understand what’s going on there?
Oleg Khaykin: Well, I think, historically NSE business was predominantly NE business selling core instruments. And at least the way I understand the history, as Company became more and more focused on developing and acquiring more software businesses, we had quite attrition in our sales force among the instrumentation sales force, so we’ve brought in more of the kind of solution sales count. So, the mix of sales people on the street and the focus had shifted somewhat away from the instruments. And as a result, we’ve seen some headwinds in our instrument sales and I think to extent we might have lost some share. What we’re trying to do is to do some rebalancing, so to say swing the pendulum backwards, not all the way, because we have a very nice SE business that we continue to invest, but the reality is instrumentation business is a very profitable and sort of sustainable business. And we need to put more money into that to really drive the sales and aggressively take back market share. So, that’s really what we’re doing. We’re just purely rebalancing investments from into the areas where we are currently generating a lot of profits. And we see a lot of opportunities for taking back share while at the same time being prudent about not overinvesting into our software solutions on a sales side because of the much longer designing cycles. And you could spend a lot of money and really have very little revenue to show for it for a while until it gets customer acceptance. So we’re trying to be more balanced in our approach how we allocate resources.
Richard Shannon: Okay. That’s helpful; I am sure we’ll hear more about that next month at your analyst event. My second quick follow-up question about your SE business and you gave us a split there between legacy and growth. I think you said overall in the SE business your book to bill was less than one in the quarter. Is it fair to assume that within the growth area that seems that book to bill [indiscernible] or can you characterize in any way?
Amar Maletira: So, yes, I think the SE book to bill was less than one because you saw mature business runoff. And so that’s impacting our bookings there. And the growth side of the business especially on the assurance side in Q4, the bookings did well; in fact it did a little bit better than what we had expected. Again, also remember these are lumpy, right. So one quarter we can get a lot of deals, in the other quarter, we see some of the deals getting pushed out. So, specifically in Q4, the technology that Oleg was talking about, location intelligence technology which is ARISO [ph] did well.
Operator: Thank you. And our next question is from Meta Marshall from Morgan Stanley. Your line is open.
Meta Marshall: I wanted to dig into the data center business, and you said that it’s been up kind of high single-digits in the first half of the year and I just wanted to see if that accelerates in the second half of the year as some of these data center upgrades take place. And second is on the legacy side of the business, it being down double-digits this year, is that something where you’re still expected to climb double-digits next year or you think that it can reach a level of stabilization and maybe be mid single-digits down?
Oleg Khaykin: I think I’ll start and let Amar chime in. I think when we said single-digits, we said, we talked about our total software business, which includes our data center, so there’s two elements, there’s the network software and then there’s a data center software. So, can you repeat which part of the -- you’re interested in because there’s two segments?
Meta Marshall: Just business you would do with data center in general and whether you think the fact -- there 25 gig upgrades later on in the year, that that could be an accelerator for that piece of the business?
Oleg Khaykin: Well, I think any time there’s an upgrade or a standard change or shift to a new technology, we always welcome it. Because it means people need to buy more of the performance management and monitoring, both instruments and software. So, it’s hard for me to predict to what extent we’re going to benefit from it. But any time you have anything different than status quo, usually benefits us on the revenue line.
Amar Maletira: On the second question, I believe that the second question is around the mature piece and what our outlook is for the mature in ‘17. Again, I won’t go into the details because we’re not guiding for the full year, but just to give you some color, we expect it to continue to decline double-digit. I think we have line of sight of it declining double-digit. We believe the growth piece of the business will increase double-digit to offset some of it. But overall, I think you’ll see our SE business slightly declining. However our core instrument business, and Oleg mentioned about the focus core instrument and how we’re defending the core and going after increasing our market share, should slightly grow, given some of the trends in fiber, in optical as well as in the Metro 100-gig build out that will also play very well to our strength.
Meta Marshall: And if I could just ask one more question, in the past, Oleg, you had talked about the NE business kind of taking more of a project based approach or working a little bit more with customers on kind of smaller projects upfront. And I just wanted to know if that’s still kind of the strategy going forward or an effort to make that sales force more productive if you’re moving away from that?
Oleg Khaykin: I think you may be thinking for NSE in general, one of -- to make sure I understand. So, it’s dealing, working with some of the customers you probably -- do you mean customers service providers or network equipment manufacturers?
Meta Marshall: You had talked about in the past NE business that has been increasingly competitive, people kind of offering more price disruptive prices in the industry and so you were trying to compete by kind of taking more customized approaches and working on project bases. And I just wanted to know if that seems to be a more hands on process and so, whether you’re trying to make the sales force more efficient or going with a channel approach will contrast that?
Oleg Khaykin: Yes. Maybe, it was probably somebody before me because I mean we do -- the only things I know we work with our customers on to kind of sell through more customer solutions where we partner with our leading OEMs like network equipment manufacturers where we embed our solutions into it and that gives us obviously differentiation but it also gives us additional marketing and sales muscle on the street. On the NE products instrumentation, we do work closely with service providers where we -- a lot of them have certain features they like to embed. So, what we do in our design is we design a general platform with an ability to give them options that we can integrate into a platform. So, I think maybe that was a discussion of things -- our goal is to go to a fewer platforms that are more easily customizable, so we can add value and differentiate from the off the shelf fixed products that maybe out there and give the customers something that is highly compelling, give them additional functionality that they demand, yet at a reasonable cost, since we are leveraging multiple platforms. I think I hope that answers your question, but that’s generally what we are looking at.
Meta Marshall: Okay, great. Thanks.
Operator: Thank you. I am not showing any further questions. So, I’ll now turn the call back over to Bill Ong for closing remarks.
Bill Ong: Thank you, Suzie. This concludes our earnings call for today. Thank you, everyone.